Operator: Hello and welcome to the Hub Group Third quarter 2019 Earnings Conference call. Dave Yeager, Hub's CEO; Phil Yeager, Hub's President and Chief Operating Officer; and Terri Pizzuto, Hub's CFO are joining me on the call. [Operator Instructions]. Any forward-looking statements made during the course of the call or contained in the release represent the company's best good-faith judgment as to what may happen in the future. Statements that are forward-looking can be identified by the use of words such as believe, expect, anticipate and project, and variations of these words. Please review the cautionary statement in the release. In addition, you should refer to the disclosures to the company's Form 10-K and other SEC filings regarding factors that could cause actual results to differ materially from those projected in these forward-looking statements. Also as a reminder, this conference is being recorded. It is now my pleasure to turn the call over to your host, Dave Yeager. You may now begin.
David Yeager: Good afternoon, and thank you for participating in Hub Group's Third Quarter Earnings call. Today I have with me Phil Yeager, Hub's President and Chief Operating Officer; and Terri Pizzuto, our Chief Financial Officer. At the close today, Hub reported a record third quarter. That's quite an achievement when you consider that we had a 2% revenue decline. Our diversified service offerings contributed to these strong results, as Hub's adjusted EPS was $0.97 per share. The CaseStack acquisition continues to perform well, as we continue to see sales and operational synergies that are adding value to our clients and enhancing our profitability. And with that I'll turn the call over to Phil to review our business lines.
Phillip Yeager: Thanks, Dave. I will now discuss our service line performance, excluding legal settlement costs. Intermodal volume declined 9% as we saw a softer demand than last year, and increased intermodal and truckload competition. Despite the volume decline, we improved gross margin as a percentage of revenue by 60 basis points. We were able to offset decreased volume with improved tractor utilization, procurement of outside capacity and revenue management. Our team is providing record service levels and we believe this enhances our value proposition in this soft market. Truck brokerage had another strong quarter in a difficult environment, and we are seeing the benefits of our improved operating model, pricing and technology. Truck brokerage delivered an increase in volume of 14% and a 510 basis point improvement in gross margin as a percentage of revenue. We continue to provide record service levels, saw the benefits of our LCL growth via CaseStack and improved our customer and carrier value propositions, all of which drove the solid results. We have a significant opportunity to grow this service line and are investing in our sales organization to support the opportunity. Logistics delivered strong results in profitability and revenue growth as we integrated CaseStack, improved our operating model and onboarded new business. We saw a 680 basis point improvement in gross margin as a percentage of sales and a 27% increase in revenue. We won several new customer engagements during the quarter and have a strong pipeline for growth. We are beginning to see improvement in our cross-selling with CaseStack, which included several wins during the quarter, one of which is the largest customer engagement of CaseStack's history. We continue to see significant growth opportunity in our logistics business as we complete the rollout of our new technology platform, organizational structure and additional service offerings. Dedicated had a strong quarter, offsetting a 5% decline in revenue with a 790 basis point increase in gross margin as a percentage of sales. The margin expansion was driven by better operational discipline and improved revenue management. We remain focused on additional opportunities to improve our returns through more efficient operations. We also won new contracts in the quarter while maintaining a strong pipeline for growth. Overall, we had a strong quarter and we would like to thank our talented team at Hub for their great teamwork and results. We feel as though we have ample opportunity to continue to grow and operate more efficiently regardless of market conditions. I will now hand it over to Terri to discuss our financial performance.
Terri Pizzuto: Thanks Phil, and hello, everyone. As you can see from our press release, net income for the quarter was $26.1 million and earnings per share was $0.78. I'd like to highlight three points for the third quarter. First, all the numbers that I'm about to discuss for the third quarter exclude a total of $8.5 million of costs or approximately $0.19 a share. These excluded costs include $4.8 million related to settlement of legal claims first made in 2013 for alleged misclassification of drivers, $3 million related to a legal settlement of a 2016 auto liability claim and $700,000 for our consulting project. Second, we're excited about the relentless execution of our profit improvement initiative, resulting in a strong 5% operating margin. Third, earnings before interest, taxes, depreciation and amortization was $75 million or an increase of 35% over 2018, $55.5 million. Now let's take a more in-depth look at our performance in the third quarter. Hub Group's revenue decreased 2% to $913 million driven by an increase in logistics revenue offset by declines in our other service lines. Gross margin as a percentage of sales was 15.1%, the highest in Hub's history. Gross margin as a percentage of sales increased 280 basis points. And as Phil discussed, every service line was up compared to last year. Operating margin, excluding the $4 million of acquisition-related compensation and amortization expense was 5.4%. Hub Group's diluted earnings per share was a record at $0.97. This is compared to 2018 diluted earnings per share from continuing operations of $0.77, an increase of 26%. Looking at our cash flow. Cash flow from operations for the first nine months totaled $129 million. Free cash flow totaled $82 million. Earnings before interest, taxes, depreciation and amortization for 9 months was $200 million compared to $135 million last year or an increase of 48%. Our cash balance at the end of September was $89.6 million. That's lower than expected because we paid vendors early at the end of the month. We did this because we went live on ERP on October 1. Our accounts payable balance was also unusually low at the end of September. Our current cash balance is about $155 million. Turning now to guidance. We believe that our fourth quarter earnings per share will range from $0.81 to $0.85, which brings our 2019 expected adjusted earnings per share range from $3.36 to $3.40. We project a mid-single-digit to high single-digit revenue decline for the fourth quarter. We expect gross margin as a percentage of sales to range from 13.9% to 14.2% in the fourth quarter. We believe that our fourth quarter costs and expenses will range between $89 million and $91 million. We project that our effective tax rate will be about 25.7% in the fourth quarter. We plan to spend between $35 million and $40 million on capital expenditures in the fourth quarter and to fund these purchases with a combination of cash and debt. That wraps up our financial performance. Over to you, Dave, for closing remarks.
David Yeager: Thank you, Terri. We believe that our strategy of providing excellent service to our clients while focusing on profit improvement initiatives will continue to generate strong returns. As we previously stated, our goal is to achieve $6 billion in revenue by 2023 while continuing to expand our profitability and return on invested capital. We intend to accomplish that goal through a combination of organic and acquisition-driven growth. We have a robust pipeline of acquisition targets that would strengthen our existing service lines or will represent an extension of our current offerings. At this time, we'll open up the lines to any questions.
Operator: [Operator Instructions]. Our first question comes from Scott Group of Wolfe Research.
Scott Group: So I wanted to ask about the fourth quarter guidance. Typically, fourth quarter is higher than the third quarter. I get the mid- to high single digit revenue decline, but it still implies fourth quarter revenue higher than third quarter. So why such a steep drop in earnings in third relative to fourth?
Terri Pizzuto: Basically because we're not seeing a peak season like we did last year. And when we talked about our projections back in July, we thought we would see a peak season similar to 2017, and we really haven't seen that either, both on the Intermodal service line or in truck brokerage, for that matter. So -- and we had thought that our volumes would be down slightly and instead, they're going to probably just be down mid- to high single digits in Intermodal, so the environment now is a bit different than it was back in July.
David Yeager: Yes, Scott. All the forecasts we've gotten from our customers really kind of reflected that we would see a relatively strong peak again, much like 2017. And we are now just in the last couple of weeks, beginning to see some tightness in L.A., Seattle, NorCal, Chicago, but it's just not as robust as anybody had forecast or what we thought would take place.
Scott Group: Okay. Can you give us the monthly Intermodal volume trends and then what you're seeing in October?
Terri Pizzuto: We can. Sure. July went down 4%, August was down 13%, September was down 11% and through yesterday, October was down 10%.
Scott Group: Okay. And then, do you have any -- what can you say about rail cost inflation at this point? Do you have visibility to -- is 2020, higher cost inflation, lower cost inflation, similar cost inflation with 2019, on the rail side?
Phillip Yeager: Yes, Scott. This is Phil. We're anticipating and have good visibility on lower cost inflation next year.
Scott Group: Okay. And then I just wanted to just make sure I understand in the press release that the $60 million of run rate savings and the other -- the incremental $40 million, just how much of that have we seen year-to-date in the -- of the $60 million? And when does the $40 million drop? I'm just -- I want to make sure I'm understanding all these numbers.
David Yeager: Sure. Yes, so. What I'll tell you is what we've done already, about half of that is related to efficiency gains through technology investments, our ability to reduce headcount there and reducing outside services spend. The majority of that took place in the latter half of the year. The other half is related to operational improvements that we've also seen over the last few months, mainly utilizing our driver and tractor capacity more effectively. And we've really enhanced our procurement program and done a great job there. And I also think our -- be much more effective in our revenue management. As I look out on the $40 million, the majority of that, that's going to be 2020. We're going to get to those on an ongoing basis, but the majority will be operationally driven. We think there is a significant opportunity to reduce cost and improve efficiency in our drayage and dedicated network, and we're going to go after that very aggressively. We're going to continue to invest in technology. But our goal is to be growing and leverage the headcount that we have, while also continuing to perform on our revenue management and continuing to procure well in the open market.
Scott Group: I just want to make sure I'm understanding. So the $60 million that you said, how much have you actually -- how much will actually show up in the 2019 numbers, of the $60 million?
Terri Pizzuto: Yes. Like Phil said, I mean, we saw a lot of the headcount savings in the latter half of the year, specifically if you look to Q2 versus Q3, our headcount is down about 5% just in that period of time and that happened mid-Q3. So we'll see that for a full quarter in fourth quarter, obviously. And then we have more to go on top of that, as Phil mentioned, with the anticipated savings that we'll have.
Phillip Yeager: Yes. We hadn't really garnered the majority of that until very recently, right?
Terri Pizzuto: Yes.
Phillip Yeager: So you should see it going forward.
Terri Pizzuto: Exactly.
Scott Group: Okay. So we got less than half of the $60 million, it sounds like this year, and we'll get some portion of the -- so we'll get the full $60 million next year and then some portion of the $40 million next year as well.
Terri Pizzuto: Correct. Right.
Phillip Yeager: Correct.
Operator: Our next question from Ben Hartford from Baird.
Benjamin Hartford: Dave, maybe just your perspective on how, in the context of a lack of a peak, how bid results are trending now and what -- some baseline expectations might be from [indiscernible] you look forward, the start of 2020 [indiscernible].
David Yeager: There's a little bit of paper shuffling in there, Ben, but the question again was, how do we perceive the bid season right now, and how will it impact in 2020. As we've often said, the -- a lot of the, how the bid season may turn out is reflected in the prior peak, so it's relatively flat right now. We do believe that early on that again we'll probably be relatively flat or maybe slight upticks in pricing in the beginning of the year and then as it goes along, that, that will become -- be able to raise price more and more we think as capacity will become a bit more constrained. So that's kind of where we're at right now.
Phillip Yeager: Yes. This is Phil. I would just add. It's really early. We're just getting into bid season. I think probably a little early to tell exactly how it's going to go, but we're keeping a very watchful eye on it and I think from an area where we see just increased competition is on the truckloading side or anything, and we continue to stay focused on maintaining our share as well.
Benjamin Hartford: Okay. In the context of what you were describing from a cost saving perspective, what's been done today, what's going to come next year, position the organization to leverage that headcount, can you talk a little bit about how the model should react if we are in kind of a downturn type scenario, given your progress to date and what you see? It's just difficult. We don't have a whole lot of historical framework reference that we think is terribly relevant. So if we're in a more difficult environment, you've got these cost savings that are coming, I mean, is there the potential to be able to maintain flat EBIT margins in that environment? Or if we do have decremental margins, is there any way to be able to describe what it may look like? Just trying to get a sense for this whipsaw that we have 3Q versus 4Q in the back half of the year and how to think about 2020.
David Yeager: Sure. Yes, I would say that we are going to work extremely diligently to make sure we get all of these cost opportunities. I think if you look at -- it's tough to exactly state what the magnitude of those recessionary markets might look like, but we do feel that we're in a position to hold up well. We think we have a really good plan and a lot of opportunity. As I mentioned before, on the Dedicated and side, we still think there is significant opportunity to operate more efficiently, and it has been a large source of capital for us, but also just a large opportunity for us to improve our operations, reduce cost, improve efficiency, so we are very focused on that and think that there's a lot of opportunities. So I would say, given these opportunities and the way that we're going after it, I feel confident in our ability to continue to deliver, even in a recessionary environment.
Benjamin Hartford: Okay. And then Terri, if I can get one in. Just in terms of how to think about 2020 for CapEx, I know you've got the building earmarked, but maintenance CapEx still $125 million, $130 million. What are you thinking for 2020?
Terri Pizzuto: We believe 2020 will be similar to 2019, which we think will be around $90 million to $95 million.
Benjamin Hartford: Does that include the building?
Terri Pizzuto: Yes, it does.
Operator: Our next question from Justin Long of Stephens.
Justin Long: So Terri, you gave an updated Intermodal volume expectation for the full year. But what's your expectation for Intermodal volumes in the fourth quarter specifically? And then thinking about some of the pricing commentary for Intermodal next year, do we need to see Intermodal pricing up in 2020 in order to improve the Intermodal OR? Or do you think the Intermodal OR can improve, even if we see flat to let's call it down low single-digit Intermodal pricing?
Terri Pizzuto: Sure. When I had said that we had previously thought that our volume in the fourth quarter would be down slightly, I was mentioning the fourth quarter. We think that'll be down mid- to high single digits now, for the fourth quarter. For full year, it could be down probably mid- to high single digits as well. So it's similar. But for full year, we believe we'll be down less than we are in the fourth quarter.
Phillip Yeager: And this is Phil. Just from a pricing perspective on your second question, we're in a budgeting process right now, but our anticipation would be, you start to see a tightening in the second half and with that, we would be in a very good position to have a strong year. I think we, given these cost offsets and the ability for us to continue to improve there, and get more velocity back in the network, I think the opportunity is very strong for us next year. We're confident in our ability to continue to perform well in the Intermodal portion of our business.
David Yeager: Yes, I think in particular it's kind of a Hub-specific story, inasmuch as the cost initiatives. The $60 million run rate is something that's very real and I know that Phil and Terri and their teams have reviewed the $40 million and what we think is achievable for next year, and it is. So I think that we expect the economy as Phil said to be getting stronger through the second half but even without that, we certainly have a lot of cost that we've taken out and a lot of opportunity left.
Terri Pizzuto: Yes. So I'll talk specifically about significant opportunity on the operational side of the house, in Dedicated and drayage and that drayage obviously impacts our Intermodal margin, and we just recently seen a little bit of improvement in tractor and driver utilization, we really haven't seen as much of that yet as we expect coming down the pipe.
Justin Long: Okay. That's all helpful. Secondly, there's a lot of uncertainty out there around brokerage based on both the market dynamics and the role of technology and how that could disrupt things. Can you just take a step back and walk through how you feel your brokerage business is positioned going forward, and how we should be thinking about both the top line and margin trends relative to the broader brokerage market?
Phillip Yeager: Sure. This is Phil. I think you've heard us talk a lot about the work we've done to improve our brokerage. We really started that focus. I think last -- last year, and have seen a tremendous amount of improvement in -- we started with a focus on our service and our purchasing, setting up the right organizational structure and incentives and since then, we've enhanced our technology, we've enhanced our pricing capabilities and that's really starting to show up I think in the results as you saw really strong gross margin improvement from us during the quarter. So we feel very good about our model and where it is. We also added the LTL portion of our brokerage through the CaseStack acquisition, which has been extremely strong as well. We're adding new service lines and capabilities. We're building trust with our clients and we're a much watch more competitive player at this point, and so we think with a full bid season this year, that we're going to be in a really good position and would anticipate continued top and bottom line growth through 2020. So that's our anticipation. I certainly think it is a competitive market and we need to continue to invest in technology to keep up and to be a real player. But we are very determined to do that and very focused on it.
Justin Long: Okay. Great. And then, one last quick one to sneak in. You mentioned Dedicated and the opportunity for improvement there. If you think about your operating margins for Dedicated today versus what you would view as more normalized, what does that gap look like?
Phillip Yeager: I would say significant. We are not where we want to be or near that. And we think that there is a clear pathway to do that -- to get to where we should be and where we want to be, which is double digit operating margins, and we think that, that's doable within the service line and we are working diligently to make sure that we get that business positioned that way.
Operator: Our next question from Dave Ross of Stifel.
David Ross: First question on the Intermodal container fleet, given the drop in volume this year and somewhat muted expectations for next year. Do you plan on removing any containers? Or do you plan on adding to the container fleet next year? Where do you expect the container fleet to fall out in 2020?
Terri Pizzuto: Well, we'll probably add 1,000 containers, is our best guess right now, but we're also retiring containers, so we don't think it'll grow much in 2020.
Phillip Yeager: That should be about moving.
Terri Pizzuto: Yes. Exactly. And for this year, Dave, it'll probably be up 300 containers, so not growing this year either, because again we're terminating this year.
David Ross: Okay. So the 1,000 for next year, just replacements?
Terri Pizzuto: Yes. Correct.
David Ross: Okay. And then follow up on the truck brokerage side of things, it's growing nicely and you talked in your comments about investing in a sales organization. Could you have a little bit more color there? I guess how are you investing in that? Are they regionally based, centrally based, inside sales, field sales? How do you think about the truck brokerage growth in the sales organization?
Phillip Yeager: Sure. Yes, this is Phil. So it's a combination, right? I think one area where we recognize that we are not where we need to be is our inside sales force in particular. We are putting a good amount of effort into that and feel really good about our ability to access the stock market on a more consistent basis through that and leverage the really great relationships we have with our larger customers and support them with that. We also need to bring in more talent from a truck brokerage perspective for our outside sales organization, whether that's more of a specialized role or in one of our regional or hunter-type positions. We think that our sales force, although we've made a lot of really good changes to it, we need to continue to train our folks to be able to position that product and we, both the opportunities there, we're seeing signs that we can execute to that. And so we're going to continue to invest in both. But the biggest opportunity that's right in front of us would be within the inside sales organization.
Operator: And our next question from Todd Fowler of KeyBanc.
Todd Fowler: Dave, just on your comments on the volumes and the lack of peak season, is that solely related to what you're seeing from a bid compliance standpoint? Or do you think that there's some share shift that's going on in the market right now?
David Yeager: I think that definitely bid compliance is still not up to where it was last year. It's still a lot less. It's improved slightly, but it's still much less than the prior year. What I do think that Intermodal has in fact lost some share, and it's not just in the 750 to 1000-mile type of line hauls, it's even up in the 2,000. Dallas-LA has become a very competitive market, so a lot of it is the truck competition, I think that they're doing anything just to keep their tractors and their drivers moving, and -- but that's not a long-term strategy. It's going to be viable.
Todd Fowler: Right, yes. Okay. That makes sense. That's helpful. And then just on the net revenue guidance for the fourth quarter, the decline from where you're at in the third quarter. I'm assuming that a lot of that's a function of not seeing the peak season. But is there anything else that's going on with net revenue sequentially into the fourth quarter. And then, with all the things that you've laid out on the cost side, it sounds like we should expect net revenue margins to improve as you move through 2020. But is there any reason why there would be, kind of puts and takes, given kind of all the opportunity, it seems that you have particularly with drayage and some of the costs in that part of the PT?
Terri Pizzuto: You're right, Todd, that most of the impact on margins in Q4 as compared to Q3 would be due to no real peak, and then we also had only 1 month of our Western rail partner increase in the third quarter, in the fourth quarter that increases in for all 3 months, and then we're expecting that utilization might be a half a day worse than the fourth quarter that was in the third quarter. We would expect truck brokerage margins, which as Phil mentioned in earlier in his prepared remarks, were up 510 basis points, which we were thrilled. Now we want to hit more volume, of course. But you'd expect truck brokerage margins to be down maybe 50 to 70 basis points because of the challenging market. And then we project logistics to decline from Q3, maybe 100 basis points just because of changes in customer mix between Q3 and Q4. But you're right, that in 2020 we have a lot of opportunity to improve those margins with the cost improvement initiatives that Phil talked about earlier.
Todd Fowler: Great. Okay. And then just the last one for me, at the top line, shaking out to be flattish this year. It sounds like there's just a tremendous amount of opportunity on the cost side going forward. But how do you think about both organic growth and inorganic growth both into 2020 and kind of that pathway to get you to the $6 billion top line?
David Yeager: Okay. Todd. Yes, I would, a, we obviously -- we've been talking about being, getting to $6 billion by 2023, and it will be a combination of both organic growth as well as through acquisitions. We have a very robust acquisition pipeline right now that we're looking at and doing a lot of diligence work. And of these companies, for the most part, are asset light, and in fact would either be complementary to our current service lines or put us into new lines of business, so we're encouraged with that. We think that this is just a part of the cycle, as far as you have a bit of a freight slowdown, but it's not going to last certainly forever, and it does appear as though the overall, at least the consumer economy is quite strong and as we continue to burn up inventory, there will be greater demand for transportation.
Phillip Yeager: Yes. And I would just add, this is Phil, that we really built a lot of capabilities, I think, to utilize the growth as a profit enhancement opportunity as well, whether it's we're managing our revenue better or operating more efficiently, we're pricing more effectively. I think we're putting in better technology. So all of those, when we do see the growth on an organic basis, really return and the market come back in our favor, we feel very good about our ability to scale.
Operator: Our next question from Brian Ossenbeck of JPMorgan.
Brian Ossenbeck: So Terri, maybe if you can just -- a couple of housekeeping ones. Start maybe if you can just give us the updated EBITDA guidance, which you've been giving the last couple of quarters, to go with the rest of the outlook you're providing?
Terri Pizzuto: Sure. So we would project that for the fourth quarter, which is the only quarter you don't have, our EBITDA could range between $65 million and $72 million.
Brian Ossenbeck: Okay. And then when you look at the amortization from the acquisitions and the comp expense, how soon do you think that those are expected to go down in '20 and be a little bit of a tailwind? And do you have some disclosures in the 10-K.
Terri Pizzuto: They'll go down a little bit, but not much, Brian. It's very similar to what '19 was.
Brian Ossenbeck: Okay. And then going back to the initiatives, especially on the gray side, what -- have you got these -- it sounds like you already got some of them started. Are they going to require capital investments? Is it all internal self-help? Maybe can you just provide a little bit more context behind what it is exactly you see the buckets of opportunity and some of the steps you need to take, to realize and monetize some of that?
Phillip Yeager: Yes. This is Phil. I would tell you, the biggest opportunity is getting our processes in the right place and really leveraging those across the network, utilizing best practices. We have some areas where we're performing -- we have sites and terminals where we're performing very well, and then we have others where there is massive opportunity. This could range from how we're purchasing to how we're utilizing our drivers and our tractors. We're reorganizing our load planning function to better support our drivers and our customers and provide that higher service level and enhanced efficiency. Where I would say there is some capital would be really just on the technology side, as we continue to roll out our single platform with OTM. We're going to be able to leverage our drivers even better through the optimization tools that OTM has. So that would really be the only capital area. I don't see anything else besides that from a capital requirements perspective. The rest is just making sure we block and tackle and execute.
Terri Pizzuto: It actually should help us with our CapEx because we'll be more efficient as a result of the way we look at our business and how we use the tractors and the drivers that we have. So that should bring our CapEx down.
Brian Ossenbeck: Okay. And then on that last question on that topic, on capital deployment, do you still see that the buyback, kind of continuing at the rates that you've been executing in 2019? Do you feel like there's a reason potentially to step back or increase? Maybe if you get some relief from the CapEx side, you can deploy it there. So just thoughts on the rest of the balance sheet deployment.
Terri Pizzuto: We bought about $18 million worth of stock during this quarter, and our first use of cash is really acquisition. So we have a Board meeting coming up in mid-November. We talk about it every Board meeting, so we'll reevaluate then.
Operator: Our next question, Bascome Majors of Susquehanna Financial.
Bascome Majors: I wanted to follow up on the question about bid compliance. I believe you said last quarter that you weren't expecting much of an uptick in it. And I'm a little surprised by the magnitude of the lack of peak season volume in the Intermodal business against that. I was wondering if you could break it out a little more. Are you seeing freight rebid in Intermodal and actually gain by truck? Or is this just your current customers not bringing the volumes you hoped for? Or is there something else going on be it rail to rail competition or IMC to IMC competition?
Phillip Yeager: This is Phil. I would say it's a combination, right? So there are some customers that are trying to take advantage of the market in the short term, which is something that we've come to deal with. There is some increased Intermodal competition as I said in my prepared remarks. And then I would say the truckload pricing has really been -- some of the comparables we see sometimes are dumbfounding. But we are continuing to focus on staying disciplined and continuing to improve our yields. I think that's certainly part of the challenging volume that we've seen and we plan to continue to stay focused on yields. And I think there are opportunities as the truckload market tightens. For us, to get a lot of that volume back and continue to utilize our network volume.
Terri Pizzuto: Yes. The whole industry was down 7% in the third quarter, Bascome, and we were down 9%. Now a couple of percentage points of that for us was a customer that went bankrupt last year, in the last year. So we don't think we lost a whole lot of market share.
Phillip Yeager: There was a percent for weather and [indiscernible].
Terri Pizzuto: Exactly.
Bascome Majors: Can you just share where you are at -- on bid compliance in Intermodal business today and what a more normal peak might look like?
David Yeager: Sure. We think it's very similar to where we were in the second quarter, in that 70-ish percent range. And we've seen it uptick a little bit, but it hasn't been to where we expect. And I would say our customers, it's been interesting with peak season to see, some have very large forecasts and they've been brought down. So I think it's also a demand function, right, where you just -- we haven't seen the import volumes at the level that we would've anticipated, which is certainly disappointing, but also understandable, given some -- where the inventory levels are.
Bascome Majors: And last one. Your full year is coming in at or above, I think where you originally guided the year, even though the cadence, I think is a little bit different than you may have thought. Where are you accrued on incentive comp for the year right now? And should next year prove to be more challenging on the bottom line? Is there some cushion in variable comp, along with the cost initiatives that you've talked about to help ease that blow?
Terri Pizzuto: Yes. Our incentive comp tracks right along with our EPS and how we grow our EPS. That's determined by the Board at the beginning of the year. So I can't tell you specifically where we're at. We'll tell you that in the proxy when we file it. But we're accruing where we need to accrue based on how we think we're going to turn out for the year. And next year, depending on how that turns out, it could be a headwind, it could be a tailwind. I mean, we only get compensated if we grow and that's the way it should be.
Phillip Yeager: Right. That's a decision by the outside directors and it is performed on an annual basis, and it's based partially on our budget, partially on the prior year. But obviously, if we don't grow from the prior year, our EPS, we get 0, which is what we would deserve, so. It's a very effective compensation.
Terri Pizzuto: Yes, and we true that up every quarter based on the forecast, and where we think we're supposed we're going to come out.
Bascome Majors: I do appreciate the clarity on the, you need to grow to earn it. And I wasn't asking for a dollar number. I was just, roughly -- kind of target level, above, below? Anything directionally you can share on where we're tracking for this year?
Terri Pizzuto: We're tracking above. Above.
Operator: Our next question from Ravi Shanker of Morgan Stanley.
Nicolette Shender: This is Nica Shender on for Robbie. Maybe just a quick one for me. Can you run through what you're seeing from a volume perspective in the different regions? And as a follow-up, have you seen any truck versus Intermodal price spread inversion in select lanes, particularly in the East?
Terri Pizzuto: Sure. I'll take the volume by region. Local West was down 11%, Local East was down 11% and transcon was down 3%. And are we seeing competition in the east? Yes, that's why our -- that's where we run into truck competition the most, and we are seeing in some cases truck rates -- spot truck rates lower than Intermodal rates in the East, so very competitive there.
Operator: [Operator Instructions]. Our next question is from Tom Wadewitz of UBS.
Michael Triano: Hey, this is Mike Triano on for Tom. So I wanted to just ask about competition within Intermodal. I mean obviously, you're starting to see some of that tick up. But when we look forward to next year as the bid start to ramp up, I mean do you think that becomes more pronounced? Or is there something that you think you could see that could just make all the players show a little discipline?
David Yeager: I think we have shown discipline at times in the past, and there's no reason to believe -- again, despite the fact that we've had some significant increases in our gross margin percentage, in our operating income, we still are really not at an acceptable return on invested capital. And I think, I don't think any of the players really are at this point, so we need to continue to focus on yielding up. Of course, that's -- we see part of that, one of those levers is, of course, price with customers. The other lever, which Phil and his team have been exploring is on our cost side, because they can, all can add towards our earnings and our operating income. So with those 2 levers, I think we've been quite aggressive and I believe that we've been very disciplined in our pricing. And I don't think we've ever had to focus on cost improvements that we have at this point and those which are -- they're very attainable, the -- all of the numbers that we've been laying out here today.
Terri Pizzuto: Yes. And our competitors did say, I think, on their call that they expected an orderly midseason, so we're hopeful that that's the way it will be.
Phillip Yeager: We certainly hope, right?
Michael Triano: Then just -- on that point about efficiency in Intermodal. I think so you mentioned last quarter that you were seeing -- you saw growth in load in miles while volumes were down. And I think length of haul is probably a factor there, just with transcon being less worse. But could you just talk about what you've really done to improve the efficiencies within Intermodal, just in terms of box turns or reducing the empty miles? Is that really technology driven? Or are there other factors driving it?
Terri Pizzuto: Yes. We really put a significant emphasis on process. We're going through all of our terminals and doing what we call clean sheeting, trying to identify opportunities to utilize our drivers more effectively and also make sure that we're utilizing all of our tractors and capacity as effectively as possible. The point is, at the end of that, we have an agreed-upon playbook that we're going to utilize to operate it efficiently, given the freight flows of that terminal, as we possibly can. It is -- there is a portion that is technology related. We are rolling out our OTM platform to all of our terminals and plan to be done by the middle of next year. But the main opportunity we have is process and focus and making sure that all of our team members understand and have the ability to really execute to our practices.
Operator: Our next question from Matt Brooklier of Buckingham Research.
Matthew Brooklier: Can you talk about the timing around the, I think the Intermodal lane closure? I'm assuming that was with UP. And can you talk about the potential for incremental changes in their network, i.e., are there further potential closures that we could see in fourth quarter going forward?
Phillip Yeager: Sure. This is Phil. The impact was on both rails. The UP actually was a pretty small portion of the lane cancellations that impacted us. There's a little bit more in the East. I would tell you that our real partners have been great about communicating with us on changes to their network. At this time, I don't anticipate any further rationalization of lanes. Certainly, they have changed their minds before. But I actually think they'll see a reopening of lanes more than cancellations, is our hope as well.
Matthew Brooklier: And as a follow-up, I'm guessing that the reopening of the lanes would be a 2020 event.
Phillip Yeager: I don't know for sure. I would just tell you that we're hoping we see lanes reopened. I think at this point, given some of the volume challenges that the industry has had, that would be a prudent move.
David Yeager: But they are looking closely at that.
Phillip Yeager: I'm sure that -- yes, they're assessing it on an ongoing basis, but that's certainly our hope.
Matthew Brooklier: Got it. And then just one more. Of the 1 percentage point of Intermodal volume that was lost in that particular product line. Were you able to quarterback some of that volume and move it in your other nodes? I would assume that we recaptured some of that on truck brokerage side during the third quarter.
Phillip Yeager: Yes. That's exactly right. We like to go to our customers when there's a disruption in any mode, and offer them a solution first. It might not always be cost neutral, but we want to make sure we're bringing them solutions. So as we saw weather impacts, particularly in the Kansas City market, we were going to our customers proactively with solutions to continue to move the freight for them. And we have been able to garner the majority of that back, so we don't anticipate the weather disruption being a long-term impact.
Operator: And our last question is from Scott Group of Wolfe Research.
Scott Group: Any chance you can share how much in peak season surcharges in Intermodal you did in fourth quarter last year and what you're expecting this year?
Terri Pizzuto: Probably about 8x as much as we are doing right now.
David Yeager: It's significant.
Scott Group: I'm trying to think like, so this is -- it's a fourth quarter '19 headwind, but as it relates to peak surcharge specifically, it wouldn't be an issue as a headwind in first half next year. Pricing is maybe at risk, but peak surcharges are specific risks fourth quarter. Is that the right way to think about it?
Phillip Yeager: Correct.
Terri Pizzuto: Yes.
Scott Group: CapEx, I thought it was supposed to be higher next year? Is this a, are we deferring some capital? Is this a new normal new run rate, around $100 million a year in CapEx?
Terri Pizzuto: No, we talked about the initiatives, the profit improvement initiatives and looking at our operations and doing more with less. That relates to capital expenditures as well, and being more efficient. So that's why that number came down, Scott.
Scott Group: Okay. And then just lastly, so I know we did 5% margin for the quarter, but not -- obviously not for the year. Do you think all these costings are what you need to get to the 5%? Or do you think that potentially takes you above 5%?
Phillip Yeager: Well, I think with a strong economy, continuing to see some tightening in the truckload market and a stronger pricing environment, that gets us to the 5% and then some. That would be our read. And if the pricing environment doesn't cooperate, that creates a challenge for us, to hit those numbers, but it's still our target and our goal.
Operator: And that concludes our question-and-answer part of our meeting. We now turn the call back to Dave Yeager for closing remarks.
David Yeager: Great. Well, thank you, again for joining us on our third quarter earnings call. As always, if there any additional questions that come up, we're all available here in Oak Brook. Thank you again for joining us.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.